Operator: Good day and thank you for standing by. Welcome to the First Quarter 2025 Materialise Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Harriet Fried of Alliance Advisors. Please go ahead.
Harriet Fried: Thank you for joining us today for Materialise’s quarterly conference call. With us on the call are Brigitte de Vet, Chief Executive Officer; and Koen Berges, Chief Financial Officer. Today’s call and webcast are being accompanied by a slide presentation that reviews Materialise’s strategic financial and operational performance for the first quarter of 2025. To access the slides, if you haven’t already done so, please go to the Investor Relations section of the company’s website at www.materialise.com. The earnings press release issued earlier today can also be found on that page. Before we get started, I’d like to remind you that management may make forward-looking statements regarding the company’s plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown certainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the company’s future results and activities, represent management’s estimates as of today and should not be relied upon as representing their estimates as of any subsequent day. Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that may impact the company’s future business or financial results can be found in the company’s most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today’s call. A reconciliation table is contained in the earnings release and at the end of the slide presentation. And with that, I’d like to turn the call over to Brigitte de Vet. Brigitte, please go ahead.
Brigitte de Vet: Good morning and good afternoon, and thank you, everyone, for joining us today. You can find the agenda for our call on Slide 3. First, I will summarize the business highlights for the first quarter of 2025. I will then pass the floor to Koen, who will take you through the first quarter of financials in more detail. And finally, I will come back and explain what we expect for the remaining months of 2025. When we’ve completed our prepared remarks, we’ll be happy to respond to questions. Now, moving to Slide 4 for the highlights of the first quarter of 2025. To start with, we recently published our 2024 Sustainability Report, sharing our goals, actions and progress on our sustainability strategy. Since the start of Materialise, our key focus has been to make a real difference through additive technology and sustainability has always been part of this mission. As we shared in the report, we set ourselves the target to cut absolute emissions by 55% by 2029, compared to the 2019 baseline. And in 2024, we reduced our emissions already by 32%, which represents a 3% reduction on the 2023 emissions. The most significant change from the previous year was the reduction of almost 700 tons of CO2 in raw materials, reflecting improved efficiency and our constant improvement in our operational processes. And this is a perfect example to show that profit and planet go hand in hand. Now, our key focus in the recent years has been to scale additive manufacturing, making additives easier, faster and more reliable, while enabling more applications of additives. In the first quarter, we’ve made meaningful progress on this journey and I’m very proud that in the current challenging market environment, we managed to grow our revenue in this period by more than 4%. In our Medical business, we continue to see strong uptake of our personalized solutions, driven by adoption in various anatomical areas across orthopedics, CMS, cardiac and respiratory. The strong growth in the first quarter, which comes on top of an already strong quarter last year, is evidence of this. To boost the adoption of personalized devices even further, we are continuously improving our segmentation, planning and design Software to make it faster and more user-friendly. In our last earnings call, we discussed the launch of our cloud-based Mimics platform called Mimics Flow, which makes it easier and faster to segment and plan cases thanks to the access to AI-based algorithms and which enables effortless collaboration among clinicians and engineers through real-time file sharing, eliminating the need to upload or download files. In the first quarter, our customers reported significant efficiency gains with this product and confirmed that they value the access to a single, integrated platform. In addition to Mimics Flow, we’ve previously introduced specialized solutions for segmentation and planning workflows in specific applications, such as CMF or structural heart, all under the Mimics Enlight brand. This tool helps surgeons reduce planning time. Orthognathic cases, for example, can be completed in under 25 minutes thanks to its intuitive workflows. In the first quarter of this year, Mimics Enlight CMF was shortlisted as a finalist for the TCT awards in the healthcare application category, and that is a testament to the value of this product line. Now, while we continuously make progress on our Software offerings, we also continue to expand our portfolio of personalized instrumentation and implants. In the first quarter, we announced the launch of a clinical trial led by the University of Michigan focused on a 3D-printed tracheal splint for infants with tracheobronchomalacia called TBM. TBM is a rare and potentially fatal condition where the airway collapses and while most children outgrow the condition by age three, they often depend on ventilators in the meantime. This bio-resolvable splint allows babies to grow up at home until the disease is resolved and the implants dissolved. The trial will enroll 35 infants across multiple children’s hospitals with the goal of making this life-changing personalized device widely accessible and opening the door to a new market for Materialise. Now, in our Software division, our goal is to help customers scale additive manufacturing with advanced Software solutions. Broader adoption of additive manufacturing depends on overcoming current barriers and reducing the cost of parts. At the recent RAPID + TCT Conference in Detroit, we announced two new products that address these challenges. The first was the 2025 release of Magics, our flagship Software for data and build preparation. The user will now benefit from performance and functionality enhancements, as well as simplified licensing and automatic updates. As an example, the new release introduces seamless processing of nTop-implicit geometries, a file format that can characterize very complex high-performance geometries at a fraction of traditional file formats. By pairing this capability with Materialise’s next-generation build processors, users can design and print parts that were previously too complex for 3D-printing. For example, DMG Mori, a leader in precision machining, used the new integration of Magics and nTop to process a high-performance geometry file in seconds compared to days previously. In a second announcement, we introduced two next-generation build processors, developed through partnerships with Raplas and One Click Metal. Materialise’s next-gen build processor is a configurable Software that translates 3D design files into 3D-printable instructions, optimizing and managing the 3D-printing process from start to finish. The combination of Raplas’ SLA 3D-printing technology with Materialise’s build processor has already demonstrated remarkable results, including a 30% to 40% increase in printing speed. At the same time, the build processor integration with One Click Metal supports the rapid growth of the mid-market 3D-printing sector. These new capabilities complement our Magics SDKs offerings, which we launched at the end of 2024. By giving users access to our algorithm base, which we’ve built over 35 years, we allow them to create custom workflows for their unique manufacturing requirements. With these solutions in the markets, we help customers overcome the barriers to adoption of AM and we are confident in the growth that this will bring for Materialise. In our Manufacturing division, macroeconomic circumstances remained difficult in the first quarter. Nevertheless, I’m proud to say that we again made progress in our key segments, and in particular in our aerospace segment, where sales grew by 23% versus the first quarter of 2024, and we were able to renew longer-term contracts with key customers. In light of the current geopolitical landscape and the breakdown of traditional global alliances, we are also reassessing Materialise’s involvement in the defense sector to extend our offering into this segment. We anticipate that a broader engagement in the defense sector will strengthen our position in the aerospace segment and create new opportunities in the future. I will now turn over to Koen, who will present the financial results.
Koen Berges: Thank you, Brigitte. Good morning, or good afternoon, to all of you on this call. I’ll begin with a brief overview of our key financial results, as shown on Slide 5. Amidst the current macroeconomic and geopolitical turbulence in the first quarter of this year, we managed to increase total revenue year-over-year by more than 4% to €66.4 million, while EBIT for the first quarter of 2025 amounted to €0.6 million. The net result for the quarter amounted to a loss of minus €0.5 million or €0.01 per share, reflecting also the impact of significant unfavorable effects from exchange rate fluctuations. Driven by positive free cash flow, we reinforced our net cash position at the end of Q1 to €67.7 million, an increase of almost €7 million versus the beginning of the quarter. In the following slides, I will further elaborate on these results. As a reminder, please note that, unless stated otherwise, all comparisons are against our results for the first quarter of 2024. Turning now to Slide 6, you’ll see an overview of our consolidated revenue. Materialise Medical continued nicely on its double-digit growth path, increasing its revenue by almost 19%. On the other hand, revenues at our Software and Manufacturing segments were impacted by the uncertain market conditions, resulting in reported revenue decreases of around 6% each. At the same time, however, we managed to grow the deferred revenue related to Software maintenance and license fees, coming both from our Medical and Software segments by €1.9 million in this year’s first quarter, bringing the total amount carried on our balance sheet to almost €49 million. As you can see in the graph on the right side of the page, Materialise Medical accounted for 47%, Materialise Software for 15%, and Materialise Manufacturing for 39%, for total revenue over the first quarter of 2025. On Slide 7, you’ll see our consolidated adjusted EBIT and EBITDA figures for the first quarter of this year. Consolidated adjusted EBIT totaled €0.6 million, compared to €2.7 million for the same period of last year, representing an adjusted EBIT margin of 1%. Consolidated adjusted EBITDA for the first quarter amounted to €6.1 million, representing, sorry, decreasing from €8.1 million in 2024, representing an adjusted EBITDA margin of 9.3%. In today’s turbulent and rapidly changing market environment, it’s also relevant though to compare our operational performance against the prior quarter, being the last quarter of 2024. We are happy to report that both the adjusted EBIT and EBITDA in the first quarter of this year improved significantly compared to Q4 of 2024. The increases of respectively 154% and 43% reflect the impact of the measures we are taking to safeguard operational profitability in these challenging times. Moving now to Slide 8, you will notice that the quarter’s total revenue in our Materialise Medical segment increased as I said almost 19% compared to an already strong first quarter of 2024. This solid growth was generated by both Medical Software and by revenue from Medical Devices sales, which grew respectively by 14% and 21%. Within our Medical Devices and Services activity, we saw continued growth both in our direct and in our partner sales. In line with topline growth, adjusted EBITDA grew further to over €9 million at a stable adjusted EBITDA margin of 29%. Important R&D investments in our future growth and in the further integration of FEops continued as planned for the first three months of this year. Slide 9 summarizes the results of our Materialise Software segments. Although sales in our Software segment increased by more than 2%, reported revenue declined by 6% to €9.8 million as a result of more revenue deferral. This quarter we generated a net build-up of €0.7 million of deferred revenue in our Software segments, whereas in last year’s corresponding period we depleted the deferred revenue reserve on our balance sheets. This also reflects the continued transition to a cloud and subscription-based business model. In Q1 of this year and for the first time, more than 80% of our Software revenue was of a recurring nature. As a result of the lower top-line, adjusted EBITDA in our Software segment decreased to €0.6 million, representing an adjusted EBITDA margin of 6.1%. Now let’s turn to Slide 10 for an overview of the performance of our Materialise Manufacturing segments. In the first quarter of 2025, as expected, Manufacturing continued to operate in a very challenging market environment, where macroeconomic uncertainty further impacted the investment climate in our core markets. As a result, revenues decreased by 5.5% in the first months of this year, compared to the corresponding period of 2024. When making the comparison against the fourth quarter of 2024, however, revenue increased again by 12%. Also in the opening months of this year, we realized further growth in our strategic focus areas of aerospace and medtech, while the industrial and automotive segments continued to face serious headwinds. Adjusted EBITDA for the segment ended negatively at minus €0.4 million, but was significantly up from the adjusted EBITDA of minus €3 million reported in the fourth quarter of 2024, reflecting the impact of operational optimizations we continue to implement in these business segments. Slide 11 provides the highlights of our consolidated income statement for the first quarter of this year. Over the first months, our gross profit margin decreased to 55.3%, compared to 56.5% in Q1 of 2024, while remaining roughly stable compared to the prior quarters. Our operating expenses in the quarter increased by €2.4 million or 6.9% in aggregate, with the biggest increase coming from higher R&D spend, which grew by almost 12% compared to prior year. In the first quarter of this year, we spent more than €11 million on R&D, the majority of which in our Medical segments. Net operating income in the quarter was €0.4 million, compared to €0.8 million last year. As a result of these elements, the Group’s operating result in the quarter was €0.6 million, compared to €2.6 million in last year. In Q1, net financial result amounted to a loss of €0.9 million, which includes interest income of €0.7 million from our cash reserves. An interest expense on our financial debt of €0.2 million and a significant negative impact from foreign exchange fluctuations of minus €1.3 million. In last year’s corresponding period, the net financial result was positive, by €1.5 million, as we benefited from favorable exchange rates effects at that time. Income tax expense in the quarter amounted to €0.2 million, compared to €0.5 million. And as a result, the net loss of the first quarter was €0.5 million, representing €0.01 per share, compared to the net profit of €3.6 million for the corresponding 2024 periods. Now please turn to Slide 12, for a recap of balance sheet and cash flow highlights. In the first quarter of 2025, we further reinforced our balance sheet. Our cash reserve increased to €104 million by the end of the quarter. Loan and lease repayments further reduced our gross debt to €36 million. The resulting net cash position at the end of the year, as set, was €67.7 million, up by almost €7 million compared to the position at the beginning of the year. Trade receivables, inventory and trade payable positions all increased, reducing our networking capital. The total deferred income position increased to €61 million, out of which €49 million was related to deferred revenue from Software licenses and maintenance contracts, as I mentioned earlier. As you can see from the graphs on the right of the page, cash flow from operating activities for the first quarter was strong and amounted to almost €10 million. Capital expenditures for the quarter amounted to €1.8 million, reflecting a more normalized level with the bulk of the investments in our new ACTech plants behind us now. As a result of these, we generated once more a positive free cash flow, which amounted to €8 million over the quarter. And with that, I’d like to hand the call back to Brigitte.
Brigitte de Vet: Thank you, Koen. Let’s turn to Page 13. I’ll conclude my remarks with a discussion of our full year 2025 guidance. The fundamentals of our business segments are strong, and while we expect the current uncertain macroeconomic and geopolitical conditions to weigh on our 2025 results, in particular in the second quarter, we anticipate a stabilization in the second half of the year and therefore expect to be able to deliver on our earlier guidance. As such, we continue to expect to report consolidated revenue for the full year 2025 within the €270 million to €285 million range we communicated in our prior earnings call. We’re also maintaining our adjusted EBIT guidance of €6 million to €9 million -- €6 million to €10 million for the fiscal year. This concludes our prepared remarks. Operator, we’re now ready to open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Troy Jensen of Cantor Fitzgerald. Your line is open.
Troy Jensen: Hey. Good morning. Good afternoon. Congrats on the better than expected Q1 results here.
Brigitte de Vet: Yeah. Good morning, Troy. Thank you. Yes. Indeed.
Troy Jensen: So, Brigitte, for you first, just tariff impact. To me, it’s probably not much. When I think about your European business, you print parts out of there and ship them into Europe. And probably for the U.S. healthcare business, you print locally and ship from the U.S. But can you touch on kind of tariff impacts for Materialise?
Brigitte de Vet: Yeah. Absolutely. So, with what you just said, you’re absolutely right. It’s really now -- so, there are three things that I would say on the positive side. So, we have our healthcare business with a U.S. Manufacturing plant, which helps us in this situation. Our Manufacturing business focused on Europe, as you said. And then the third one is that Software, as such, at this point in time, is not impacted. Now, where we do see the impact potentially is on our raw materials, because even in our U.S. facility, we will have raw materials that potentially are impacted. That’s one. But the biggest impact is probably the impact of tariffs on our customers. And that is, at this point in time, very hard to say what the impact will be and how customers will react to the climate and to their increased costs. So, but from our side, you’re absolutely right, with the focused operations of Manufacturing in Europe and our healthcare business in the U.S. And I would add Software as the one that is excluded from tariffs at this point in time.
Troy Jensen: All right. Makes sense. And just talk about -- you talked about Q2 being disruptive here and then stabilizing or back to normal in the second half, so to speak. Can you just touch base on month-to-date? How does Q2 look? Are we going to be down sequentially? Flat-ish? Any insight on what you think Q2 could look like?
Brigitte de Vet: Yeah. So, I mean, I obviously can only take the information that we have at this point in time. So, the way we look at Q2 at this point in time is that it’s going to be a bit more difficult. In the first quarter, the start of the month was okay-ish. So, overall, I would expect us to be somewhere more or less flattish on the topline. But there’s a lot of uncertainty in the market, which makes it very hard to predict what the rest will be. There will be pressure on our bottomline in the second quarter. Now, again, as I said earlier, we’ll expect that to stabilize in the second half of the year and not getting out of this. But again, at this point in time, it’s hard to predict.
Troy Jensen: Yeah. I understand. And then maybe for Koen, I mean, I know we hit this a lot, frequently on these quarterly calls, but Software was below €10 million. That’s the first time we’ve seen it at that level since the beginning of COVID. Just thoughts on growing that business. I do get deferred revs are growing. And then could you also confirm, did you say 80% of revenues in Software are from recurring sales, sorry, a couple of questions together there.
Koen Berges: Yeah. No. Thank you, Troy. Indeed, for the first time, we passed the 80% threshold or milestone of our total Software revenues within the Software segment that were of a recurring nature. Last quarter, I indicated we were just north of 75%. So we made quite a big step up in the first quarter of the conversion to recurring revenue. And that is also translating into our reported revenue number. So compared to other quarters, we have deferred more of the sales, of the revenue coming in on the balance sheet. And that impacts also the topline and that is also one of the reasons why we see a lower reported revenue in the first quarter, and indeed, as you said, just below the €10 million point.
Brigitte de Vet: Now, maybe just to add one more point on here, Troy. I mean, the fact that we are above the 80% now with our recurring also gives us an indication that we’re getting closer to the endpoint of this transition. Now, by no way saying that the endpoint of this transition is in this year. We know that it takes a couple of years to go through this. But with the recurring revenue above 80%, at least the end of this is in sight somewhat.
Troy Jensen: Understood. All right. Well, keep up the good work. Good luck this year.
Brigitte de Vet: Thank you, Troy.
Operator: Thank you. [Operator Instructions] I’m showing no further questions at this time. I’d like to turn it back to Brigitte de Vet for closing remarks.
Brigitte de Vet: Well, thanks again for joining us today. We look forward to continuing our dialogue as always through investor conferences or in one-on-ones, virtual meetings or calls. And please do reach out if you have any questions. With that, I want to thank you and say goodbye for now.
Operator: This concludes today’s conference call. Thank you for participating and you may now disconnect.